Operator: Good morning, and welcome to Ollie's Bargain Outlet's Conference Call to discuss financial results for the Fourth Quarter Fiscal 2023. Currently, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and an interactive instruction will follow at that time. Please be advised that this call is being recorded and the reproduction of this call in whole or in part is not permitted without the express written authorization of Ollie's. Joining us today's call from Ollie's management are John Swygert, President, and Chief Executive Officer; Eric van der Valk, Executive Vice President, and Chief Operating Officer; and Robert Helm, Senior Vice President, and Chief Financial Officer. Certain comments made today may constitute forward-looking statements and are made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our annual report on Form 10- and quarterly reports on Form 10-Q on file with the SEC and the earnings press release. Forward-looking statements made today are as of the date of this call and we do not undertake any obligation to update these statements. On today's call, the company will also be referring to certain non-GAAP financial measures. Reconciliation of those most closely comparable GAAP financial measures to non-GAAP financial measures are included in our earnings press release. With that said, I will now turn the call over to Mr. Swygert. Please go ahead, sir.
John Swygert: Thank you and good morning everyone. We appreciate you joining our call today. We had a strong fourth quarter and fiscal year. For the fourth quarter, we delivered better than expected top and bottom line results. Comparable store sales increased 3.9%, our seventh consecutive quarter of positive comps. Our comp store sales growth was broad-based with over 60% of our product categories comping positive in the quarter. In addition to the solid comp store sales growth, we also delivered very strong margin growth. Gross margin increased 290 basis points to 40.5%, which in turn helps us deliver a 46% increase in adjusted earnings per share. The fourth quarter capped off a great year for Ollie's. Fiscal 2023 marked a return to the strong financial performance and consistent execution that are hallmark at Ollie's. We are proud of our team's achievements this past year, which included a number of records and milestones. In fiscal 2023, we generated record net sales and crossed the $2 billion mark for the first time in our 41-year history. We opened our 500th store and entered our 30th state. We returned to our long-term outlook gross margin target of 40% in the second half of the year. We added a record 3.6 million new Ollie's army members and grew to almost 14 million active members strong. We beat and raised our four-year sales and earnings estimates in all four quarters and most importantly, we returned to a pattern of consistent execution and strong financial results. We feel very good about the underlying trends in our business and our focus on long-term growth. We recently completed our latest third-party real estate feasibility study, which utilizes demographic data and density across a changing US landscape. The migration trend out of larger metropolitan markets into rural and suburban areas over the past few years is a positive trend for Ollie's, and our analysis supports a new long-term target of 1,300 stores, up from a previous 1,050. Everyone loves to bargain, and as consumers seek value, we are positioned to win. We sell good stuff cheap, high-quality name-brand products at prices typically 20% to 70% below the fancy stores. Since our founding over 41 years ago, we have built our model around closeouts and bargains. In doing so, we have developed deep relationships throughout the vendor community, built an experienced team of talented buyers, and set up our distribution network to handle deals of all shapes and sizes in a cost-effective and agile manner, and developed a trusted and loyal customer following. Today, consumers are looking for bargains and manufacturers are looking for trusted partners who can help them manage their inventories and supply chains. Larger retailers are being supplied by larger manufacturers, and this leads to larger orders and product flow. At the same time, manufacturers are constantly developing and introducing new products, new packaging, and working around endless changes and disruptions to the marketplace and supply chain. This is driving strong growth in the closeout market. We are the king of closeouts, and we are built for this environment. Nobody has our experience, size, scale and credibility in the closeout market. With over 41 years of history and extensive relationships, manufacturers know we are a trusted and reliable partner for accessing closeout products. As a result, our purchasing power is growing, and we're becoming more and more meaningful to the vendor community. We have made significant investments to enhance execution and drive productivity. We have invested in wages across the entire company, our distribution centers, our stores, the field management teams and store support center. We have enhanced major operational teams such as the supply chain, loss prevention, real estate and marketing, expanded our distribution capabilities, implemented new technology and systems, initiated a store remodel program and retooled our marketing campaigns and expanded our digital capabilities. Clearly, these investments are paying off. Our customer base is expanding, our productivity levels are increasing and our costs are well under control. In short, we're executing well and delivering strong and consistent financial results. Now, let me turn the call over to Eric.
Eric van der Valk: Thanks, John and good morning, everyone. Our fourth quarter and fiscal year results reflect the strength of our deals, the hard work and commitment of our team, and our execution across the organizations. Process improvements and investments we have made in our people, supply chain, stores and marketing, continue to drive better productivity and strong results. Our growth is focused on a number of core initiatives, offering amazing deals, expanding our reach through new store openings, digital marketing and Ollie's army, leveraging investments to drive operating efficiencies and execution. In the fourth quarter, we opened seven new stores and hit our target of 45 new store openings for the fiscal year. The 30 store openings in the back half of the year was a new record. We continue to pursue a contiguous growth real estate strategy that leverages brand awareness, marketing reach and our supply chain. With the opening of our 500 store in Iowa City, we now operate in 30 states. In fiscal 2024, we are targeting to open approximately 50 new stores with a good portion of these in existing markets and the Midwest. In addition to opening new stores, we continue to upgrade our existing stores through our remodel program. Over 10% of our store base has now been remodeled and we are applying our learnings to both existing stores and new store designs.
Operator: Ladies and gentlemen, please stand by. Your program will resume momentarily. Once again, please stand by. Your program will resume momentarily.
Eric van der Valk: Michelle, are you able to hear us?
Operator: Yeah. Hi. I can hear you now. All right. Great. Yes. You may proceed.
John Rouleau: Okay. Again, everybody, we apologize for the technical difficulties. We're going to resume, the Ollie's conference call, with Eric starting back in on his portion. Thank you, everybody.
Eric van der Valk: Thank you, John Rouleau. Thank you, John Swygert. Good morning, everyone. Our fourth quarter and fiscal year results reflect the strength of our deals, the hard work and commitment of our team, and the execution across the organization. Process improvements and investments we have made in our people, supply chain, stores and marketing continue to drive better productivity and strong results. Our growth is focused on a number of core initiatives, offering amazing deals, expanding our reach through new store openings, digital marketing, and Ollie's army, and leveraging investments to drive operating efficiencies and execution. In the fourth quarter, we opened seven new stores and hit our target of 45 new store openings for the fiscal year. The 30 store openings in the back half of the year was a new record. We continue to pursue a contiguous growth real estate strategy that leverages brand awareness, marketing reach and our supply chain. With the opening of our 500th store in Iowa City, we now operate in 30 states. In fiscal 2024, we are targeting to open approximately 50 new stores, with a good portion of these in existing markets and the Midwest. In addition to opening new stores, we continue to upgrade our existing stores through our remodel program. Over 10% of our store base has now been remodeled and we are applying our learnings to both existing stores and new store design. Our new distribution center in Illinois will support our continued growth in the Midwest and is on track to start up full operations in the second half of this year. Our fourth distribution center expands our capacity to service an additional 150 stores to 175 stores. When combining this with investments we've made over the past year, we will have the ability to service up to 750 stores. On the marketing front, we continue to shift advertising dollars into various digital and social media platforms, including influencers across TikTok, Instagram and Facebook. For Black Friday and Christmas, we tested a series of video ad formats that generated millions of views and over a billion impressions in Google channels, including YouTube. Our digital flyer registered over 300 million impressions with Facebook and Instagram users. Our expanded digital marketing program is helping us to reach new and younger customers and keeping Ollie's the birthplace of bargains, top of mind with existing customers. Our growing customer base is reflected in our Ollie's army numbers. As John mentioned, we had a record year in customer additions with over 3.6 million customers added to Ollie's army this year alone. In line with the growth in the younger customer demographic we are attracting, we are also seeing growth in younger customers joining Ollie's army. Lastly, we continue to benefit from the trade-down effect we have experienced over the last several quarters and are seeing strong retention from this customer cohort. Touching on supply chain for a moment, our annual international carrier contracts are renegotiated every May. This is an area where we have made significant improvements over the past few years. We have overhauled our team, brought in new systems to improve visibility and execution, and increased the number of direct carrier relationships. Most importantly, we have leveraged our volume to negotiate favorable annual contracts in terms. Now, almost 90% of our foreign shipping requirements are covered under contract. As a result, we have very little exposure to the spot market. As a reminder, around 20% of our overall purchases are imports. In addition, we have not seen any meaningful impact from the shipping disruptions through the Suez Canal and our import costs remain well controlled. Like other retailers, we don't know what could happen to import tariffs as a result of the upcoming Presidential Election, but do want to remind everyone that we negotiate pricing fluidly based on prices in the marketplace on a relatively short-term basis. If prices were to increase from the implementation of new tariffs, we would adjust our buying accordingly and offer the same compelling value to our customers, while delivering margin within our targeted parameters. We continue to watch the real estate market closely. While the market is a bit tight at the moment, we think this could start to loosen up with some of the more recent and potentially forthcoming foreclosures and bankruptcies. The strength of our business model, and particularly our balance sheet, provides us with the positioning to seize this opportunity as it arises. Before I turn the call over to Rob, I would like to take a moment to thank our incredible team of associates who are value-obsessed and committed to executing the different areas across our business day in, day out. John alluded to the consistent results we delivered this quarter, and this is only possible when our entire team is working together to execute the business. Rob?
Rob Helm: Thanks, Eric, and good morning, everyone. We're extremely pleased with our fourth quarter and full year results, which came in ahead of our expectations, driven by strong sales growth and healthy margin expansion. Our fourth quarter adjusted earnings per share was a new record number for Ollie's. For the year, we achieved a record $2.1 billion in net sales, expanded gross margin by 370 basis points, and increased adjusted earnings per share by 80%. In the fourth quarter, net sales increased 18% to $649 million, driven by new store growth, comparable store sales growth and the 53rd selling week. Our comparable store sales increased 3.9% and was driven primarily by transactions. Our category strength was broad-based, with over 60% of our product categories comping positive. Our best-performing categories were food, seasonal, candy, housewares and sporting goods. Finally, the 53rd selling week added approximately $34 million to net sales in the quarter. Ollie's army increased 5.9% to 14 million members, and sales to our members represented over 80% of total sales. As both John and Eric mentioned, we added a record 3.6 million members in 2023, and the number of non-active members purging from Ollie's army is moderating. This should bode well for net member growth going forward. During the quarter, we opened seven new stores, ending with 512 stores in 30 states, an increase of 9.4% year-over-year. The timing of our new store openings did slightly impact new store productivity in the quarter, but our new stores continue to ramp and perform in line with our expectations and pro forma models. Gross margin improved 290 basis points to 40.5% compared to last year, primarily driven by favorable supply chain costs and a higher merchandise margin, driven by lower shrink. SG&A expenses as a percentage of net sales increased 30 basis points to 24.1% due to higher incentive compensation, partially offset by leverage of fixed expenses on the increase in net sales. Operating income increased 44.3% to $98 million, and operating margin increased 270 basis points to 15% in the quarter. Adjusted net income increased 45.5% to $76 million and adjusted earnings per share was $1.23 compared to $0.84 last year. Adjusted EBITDA increased 43.2% to $111 million, and adjusted EBITDA margin increased 300 basis points to 17% for the quarter. Turning to the balance sheet, our cash position remains strong, with $353 million between cash on hand and short-term investments, and no outstanding borrowings under our revolving credit facility, which we extended for another five years at favorable economics to the current market conditions. For the full year, we generated $254 million in cash from operations. Inventory increased 7.5% to $506 million, primarily driven by new store growth, partially offset by the impact of lower capitalized freight costs. Capital expenditures totalled $43 million for the quarter, and were primarily for the development of new stores, the remodeling of existing stores, and the construction of our new distribution center in Illinois. During the quarter, we invested $13 million to repurchase shares of our common stock. We repurchased 53 million during the year, and have 86 million remaining on our current share repurchase program authorization. We remain committed to returning capital to our investors through share repurchases, while balancing our strategic growth opportunities and working capital needs. Turning to our outlook for 2024, as John mentioned, we continue to benefit from a strong closeout market, as well as improved execution across many facets of our business. While we entered the year with nice momentum, we always initially planned the year around our long-term algo of 1% to 2% positive comp growth for purposes of setting our cost structure and leverage points. With that framework in place, for the full year, which is a 52-week year, compared to 53 weeks in 2023, we expect total net sales of $2.248 billion to $2.273 billion, comparable store sales growth of 1% to 2%. The opening of 50 new stores left two closures where we chose not to renew, gross margin of approximately 40%, operating income of $243 million to $251 million, adjusted net income of $192 million to $198 million and adjusted net income per diluted share of $3.10 to $3.20 and annual effective tax rate of 25%, which excludes the tax benefits related to stock-based compensation, diluted weighted average share is outstanding of approximately 62 million and lastly, capital expenditures of approximately $85 million, including approximately $30 million for the completion of our distribution center in Princeton, Illinois. Now let me provide some color on how we're thinking about quarterly comps and store opening cadence, as well as a few other numbers to help with your models. With our continued momentum, we expect to deliver Q1 comps slightly above the high end of our annual guidance range. For Q2, we are planning comps to the midpoint of our annual guidance range. For Q3, we anticipate comp sales to be flat due to a change related to the calendar shift from the 53rd week and as a result of the shift, we would expect Q4 comps to be slightly above the high end of our annual guidance range. For new stores, we're modelling approximately 30% of our openings in the first half, and 70% of our openings in the second half. Related to store openings, we expect pre-opening expenses, including expenses associated with our remodel program, to be approximately $17 million for the year. In terms of gross margin, we anticipate most of our improvements occur in the first half of the year, as we lap our stronger results in the second half of the year. We're planning for depreciation and amortization expense of approximately $42 million, which includes $11 million that runs through cost of goods sold and lastly, we expect net interest income of approximately $13 million, which considers a higher average cash balance for the year, partially offset by the impact of the potential for lower interest rates in the back half of the year. Now let me turn the call back over to John.
John Swygert: Thanks, Rob. Operating a closed-out retail business is not for the faint of heart. It takes a lot of dedicated team members who are passionate about selling good stuff cheap to execute our model. We know the holiday season was a very busy time for our associates this year, and I want to congratulate our team for the way they managed the business and delivered results. I am very proud of their performance this past quarter and year. As we say, we are; We are Ollie's! That concludes our prepared remarks, and we are now happy to take your questions. Operator?
Operator: [Operator instructions] And our first question comes from the line of Brad Thomas from KeyBanc Capital Markets. Your question, please.
Brad Thomas: Hi. Good morning. Thanks for taking my question and congrats on a strong 2023. John, I just wanted to circle back on a question that we've been asking and investors have been asking really for the past year as you've started to see this strong momentum in your business. Can you talk a little bit more about the line of sight on sourcing and your confidence that you can comp the comp as we move here through 2024?
John Swygert: Yeah, Brad, this is a question we've gotten for a long period of time. With regards, we've been doing this for 41 years. The relationships we've built over that time period are very, very strong. Closeout, the closeout market is a very large market. As we said before, when I first started talking about it, it was an $80 billion market. Now it's probably close to $115 billion market and we just surpassed a $2 billion sales number for this year. So there's plenty of excess inventory out in the marketplace, so that does not bother us or the company to be able to comp the comp or find their source deals. The deal flows are very, very strong and have been strong and they'll continue to be strong. So that doesn't bother us from that perspective. A line of sight's always been the major question because we're buying closeouts, we're not manufacturing goods. So we don't see too far out. I can't tell you what we're going to buy in June and July, but when you do, when you're living this every day, you do have and feel the momentum that's out there and the surplus is sitting in the marketplace. So, with our continued size and scale, we've become much, much more meaningful and built these relations with the manufacturers and we believe we're positioned to continue to deliver the results and we're not afraid of that.
Brad Thomas: That's very helpful, John. And as a related follow-up, it's encouraging to see the increased long-term store targets. Can you talk a little bit more about the work on the sourcing side and the merchandising side that goes into your confidence in supporting that increased store base?
John Swygert: Yeah, as we've talked about for a long time, Brad, we got this question at 100 stores, we got this question at 200 stores. The deals keep getting bigger and bigger and our relationships with the direct manufacturers keep getting bigger and bigger and as we scale and we get more coverage of the United States, the facilities that they operate in continue to be a natural fit for us. So the store count and I think people always get worried about other folks who have been in the closeout industry and they've not succeeded over many years. This is all we've done. We've never gone away from our knitting. This is what we've done for 41 years. This is all our buyers focus on each and every day. So we're committed to closeouts. It's definitely an inconvenience business, but like we said, this is something that we live and breathe every day and this doesn't bother us from a scale perspective. We've talked about in the past, as we scale up our store base, do closeouts become a slightly smaller percentage of the overall purchases? Sure, it does. I don't think the customer ever notices that and I do think our merchants will continue to push and deliver closeouts. So I never see us getting below a 50% closeout in our total business. I just think there's enough abundance out there for us to be continuing to drive that and drive that shopping experience for our customers.
Eric van der Valk: Brad, this is Eric. I'll just add on a comment that this is a fragmented marketplace, the closeout business, and our size is a differentiator, a very important differentiator as we continue to grow. It also highlight that we have a very strong balance sheet, which is another piece that makes us stand apart from others that are in this business.
Brad Thomas: I appreciate it. Thanks, guys.
Operator: And our next question comes from the line of Kate McShane from Goldman Sachs. Your question, please.
Kate McShane: Hi, good morning. Thanks for taking our question. We wondered what impact you might be seeing. It sounds like the guide on Q1 same-store sales is pretty solid, but just what impact you might be seeing as the tax refunds here seem to be a little bit slower coming in versus last year, and if it's having any kind of impact on you?
Rob Helm: Hey, Kate. This is Rob. The tax refund piece has been widely reported, and it's something certainly that we're tracking. Obviously, more liquidity for our customers and their wallets is good for business, good for all resellers. To date, we haven't really seen it have a significant impact coming off of last year. I think the IRS has reported they're about a week behind, but average refunds that are going into customers' hands are bigger. So, net-net, I would say not much of an impact so far.
Kate McShane: Okay. Thank you. And then our second question was just on remodels. Can you remind us again the list that you get from the remodels and what the cadence in 2024 will look like?
Eric van der Valk: Kate, its Eric. We expect a big single-digit list for remodels. We're repositioning the program a bit going forward. So we'll talk about full remodels where we're reorganizing the store, potentially installing racetracks, reflowing the stores, changing adjacencies, etcetera. We expect that. We expect to remodel around 20 stores. We're also touching at least 30 stores with some degree of updating, which includes installing front-end queues, wayfinding and some other adjustments. So it's really going forward, we're learning from our experience in the remodel program what gets us the biggest return and what improves the customer experience the most and we're investing in those elements in more stores as we move forward.
Operator: And our next question comes from the line of Peter Keith from Piper Sandler. Your question, please.
Peter Keith: Hey, good morning, everyone. Congrats from me as well. It was a great year. Looking at the new store target of 1,300, I was curious how you're thinking about annual store growth going forward. I believe the target's been 50 stores to 55 stores per year. Is that how we should still kind of model out longer-term unit growth on an annual basis?
Eric van der Valk: Hi, Peter. It's Eric. Yeah, we build our infrastructure to open 50 stores to 55 stores a year as well as executing on the remodel program. Just to remind everyone, in 2022, we opened 40 stores. In '23, we committed to 45 stores, opened 45 stores, and we're committing to 50 stores in '24. So you can see a cadence to growing the number of stores that we're opening. That being said, we have a disciplined approach to growth. We will not risk execution. There is a lot of disruption in the market, which is creating opportunities on the real estate side and we feel very good about the pipeline looking out into future years, '25 and '26. With this new real estate study in hand, we're evaluating what would be required to accelerate growth. Our supply chain, opening the Illinois warehouse, DC is a big leap forward in our ability to scale. The pipeline, of course, of real estate, store leadership, store support teams and we'll get back to you in a few quarters with what that looks like for the out years.
Peter Keith: Okay. Very helpful and interesting. Secondly, I did want to ask about tariffs. You mentioned it, about 20% of products, or maybe 20% of sales are imported and I guess, what's the philosophy, just thinking ahead, if tariffs do get implemented, do you think about diversifying away from China? Or, on the other hand, I was thinking about maybe other companies are diversifying away, and that therefore creates more closeout opportunities with Chinese factories and suppliers. So, just curious how you're thinking about maybe the approach to China sourcing on a multi-year basis here.
Eric van der Valk: Sure. Peter, it's Eric again. We do think about both elements of your question. We think about diversifying and de-risking around China with that 20% that is derived. We also think about the opportunities it creates, as we move into a period that may be somewhat disruptive. All that being said, our business is primarily closeout oriented, and tariffs will have an impact on everything, not everything, but percentage that comes out of China potentially across multiple categories of business. And we're not concerned about it because of what I said in my opening remarks. From a pricing standpoint, we're very fluid as we're buying closeouts that may over time be impacted by increasing tariffs. We're pricing in the marketplace, and typically what's happened, because we've been through this a couple times in the past, is prices are increased across various competitors, and we price up accordingly and ensure that we can deliver margin. So we feel good about it, we're not losing sleep about tariffs.
John Rouleau: Yeah, Peter I said a little bit to that in a different way, but we would say that we're a price follower, not a price setter. So as the market moves, we move accordingly, we keep that same value proposition. So whether the tariffs come in or out, or whether people move business from China to another country, we're just following what the market's doing. So we're in a very good position. And also to your point, we call them stock lots, but closeouts that could be in China, if things don't move out of there are opportunities for us to be able to buy product and bring it to the country. So we believe we're well positioned for this and as we always say, when it comes to disruption, we do normally win at that. So that is something that could also play in our hand.
Peter Keith: Okay, very helpful, guys. Thanks so much and good luck.
Operator: And our next question comes from the line of Edward Kelly from Wells Fargo. Your question, please.
Edward Kelly: Hi, good morning, everyone. I wanted to maybe ask, promotional cadence for the year and how you're thinking about any changes there. Like I noticed there was an earlier March flyer that I think shifted back. Obviously you have a harder -- pretty hard like Q2, Q3 compare. I'm not sure if you're thinking about anything differently there or in Holly. Just how should we think about promotional cadence? You did mention, some movement around the comp by quarter. So just maybe a little bit more color there.
John Swygert: Yeah, Ed I'll answer it and then maybe Eric or Rob will add into it, but with regards to promotional calendar, it's pretty much the same as last year. We are experiencing a shift from Q3 to Q4, just naturally because of the 53rd week occurring and how the weeks fall and then obviously the compressed holiday selling period from Thanksgiving to Christmas this year, but the cadence is right now planned to be pretty comparable to last year and we feel very comfortable with where we're sitting today.
Edward Kelly: And just maybe a follow up to this question around the comparison; John, how are you thinking about the mix of the product that you think you'll be buying? So you think about last year, right? You're going to have this Coleman blowout, which I'm sure was very good. I don't know if you're anticipating, like consumable versus gen merge, right? Like how you're looking at that? Maybe that would be helpful. And then Eric, I just wanted to ask you one quick question on the store opening cadence. It looks like Q1 might be pretty light based upon what's on the website. So any color on Q1 openings? Thanks.
John Swygert: With regards to the overall, Ed, I won't say too much about deals and how we're going to comp the comp from prior year from a competition perspective, but we are, and we feel like we're well positioned and we'll be able to annualize those special deals we had last year that are out there. So we feel well positioned. I just can't say much more about it, but the deal flow is strong enough that we feel good. We're not -- obviously consumables is a leading category for, I think, a lot of retailers out there. We're not much different. I think food and candy is working very, very well for us and obviously the consumable categories that we have in HBA and housewares is obviously a very strong performer and we're well positioned there. The deal, the outsized deals are what really put us over the top and I think we're positioned here for this first, second quarter, without a doubt.
Eric van der Valk: And Ed, from a store cadence perspective, we're opening five in the first quarter. We are planning out of the two closures, one of the closures is planned to occur in the first quarter, but that could push out as we work through the turnover requirements with the landlord.
John Swygert: Yeah, and Ed, just to comment, generally about the cadence, it is back half loaded, very similar to last year and that really reflects momentum in the pipeline as we move through last year. We want to get to a point where we're not as back half loaded. We know we can execute the back half loaded plan based on what happened in '23. So we have the confidence that we'll execute it. As we look out in '25, we're going to work hard to get a better balance.
Operator: And our next question comes from the line of Jeremy Hamblin from Craig-Hallum Capital Group. Your question, please.
Jeremy Hamblin: Thanks, and congrats on the strong results. I wanted to get into your Q4 gross margins, I think may have been a record for Q4 certainly and you noted in the commentary that part of that was related to lower shrink year-over-year. Some of it was improved product margins, of course, lower freight, but I wanted to dive in a little bit in terms of thinking about that impact on a go forward basis. One, do you feel like your shrink you now have under control? I know that you've noted in the past that it's a real subset of your stores, maybe 20% or less, that are causing 80% of the issues. So, Eric, do you feel like that is in a much better spot and any other commentary on just kind of loss prevention that would help and then should we be thinking about Q4 gross margins as potentially a little bit higher than what they've been in the past? Thank you.
Rob Helm: This is Rob. From a Q4 gross margin perspective, we were very pleased with our performance. It was primarily supply chain fuelled. We feel that the supply chain came in at I think it was in the range of 9% for the fourth quarter. That's pretty consistent where we thought it was going to be maybe slightly better and we'll be able to improve upon that for next year, planning supply chain costs for the full year in the range of, say, 9%. From a shrink perspective, shrink was a nice contributor to our Q4 gross margin. We started to see some improvement in shrink in the second half of the year. As we've discussed in the past, shrink is a trailing indicator. We count each one of our stores annually. So we only get a snapshot of how shrink is performing after those counts and it's nice to see that some of the additional efforts and resources we put against it have started to make some progress. That being said, we still are not back to where we were in the past from a shrink perspective, and we still have more work to do, but given where we landed Q4 in terms of gross margin, we're very confident with our 40% gross margin guide for next year.
Rob Helm: Jeremy, just to add a little bit more on shrink, as Rob indicated, our heightened focus on shrink over the past year. We did upgrade the team in various ways. We're much more focused on internal theft in addition to external theft and we've deployed a disproportionate amount of our resource on the 20% you referred to that's creating kind of most of our issue. We would never say with 100% confidence that it's totally under control as it pertains to shrink, but we feel pretty good about heading into '24.
John Swygert: And, Jeremy, this is Sean. Just one last addition on margin, just so no one gets ahead of us, because we did have a very strong Q4, we're working to get back to a 40% gross margin from a long-term algo for 2024, so I just want to make sure no one runs away from that number. It's not that easy to always hit exactly where we're trying to hit for the quarter. With the changing costs we had and the overall buying environment we've been in, I still would ask everyone to stick with us on the 40% gross margin for 2024 at a minimum.
Jeremy Hamblin: Understood and then just one other. The new one to get an update on the new DC in Illinois and progress on the York expansion and just understand the potential financial impact of that this year, timing on when you may have any drag related to that opening of the new DC in Illinois.
Eric van der Valk: Jeremy, it's Eric. I'll take the first part of the question. We are on track, on time to begin full operations in Q3 of this year. We actually begin receiving in that building in Q2. All is going well. We have confidence that the start-up will be successful. So feeling very good about this in this moment.
Rob Helm: From a financial impact perspective, we used to call the opening of the new DC, say 20 basis points drag on gross margin. I would say given our bigger size, I would call that closer to 10 basis points now, but that's contemplated in our guidance in arriving at the 40% gross margin target. The other piece of it is there is an elevated depreciation that is alongside the York expansion and the Princeton distribution center, which is also contemplated in our guidance.
John Swygert: I didn't comment, Jeremy. You asked me about York. It's so far behind me now. I'm not really thinking about it. We completed that expansion in the middle of 2023, and all is going well, successful, throughput is where we need it to be. We have the expanded space, the ability to service additional stores.
Operator: [Operator instructions] And our next question comes from the line of Eric Cohen from Gordon Haskett. Your question, please.
Eric Cohen: Good morning. Thanks for taking the question and congrats on a nice quarter. I want to ask about the raised store target. The incremental 250 stores, so were you finding the additional opportunity? Is it in new markets that you didn't think you could previously enter or great opportunity filling in existing markets? And do you anticipate that these stores will have a similar store productivity and profitability as the existing base?
Rob Helm: Hey, I'll take that part of the question. It's Rob. From a new target perspective, I would say that there was certainly a bit of new markets in terms of the markets that came into our study in terms of demographics and population density. The way that we think about it, where we sit today in our 512 store base versus our 1,300 target in the future, about a third of it is a backfill opportunity into existing markets. Two-thirds of the remaining stores that we're going to open are in new markets. From the other aspect of your questions in terms of the model, we've found over 41 years that this model is exceptionally profitable and predictable in every market that we open and portable. So, we have no doubts that we'll be as profitable in some of these other markets as we open, as we are in our existing markets.
John Swygert: Yeah, Eric, just to add a little more color, as we said in our opening remarks, the urban sprawl that was accelerated through COVID is certainly helping sprawl into suburban and rural communities, but also in looking at our customer base, it's become more affluent and younger, and that's also affecting the markets that we believe will be successful as we move forward and the growth, the 250-store growth toward long-term target.
Eric Cohen: Great. And then you've talked about benefiting from trade-down recent quarters. Can you just discuss what the customer demographic mix looks like today versus a couple years ago and whether or not this incremental trade-on customers you've got is sustainable? And then does adding higher-income consumers help you offer products at higher prices that maybe previously couldn't?
Eric van der Valk: Sure. Eric, it's Eric again. We're seeing trade-down strength above $100,000 incomes, and we're seeing especially some strength above $150,000 and from what we've seen to date now over several quarters, retention does look good. Lower-income customers are relatively stable. We under-indexed lower-income consistently over the years. Just remember we don't take staff and we're more discretionary assortment versus some others out there.
Rob Helm: The other dynamic, this is Rob, I would add, is that as we've deepened our mix into consumables, it's a high-frequency, high-business for us and typically a repeat shopper. So we feel that once we have you as an ongoing consumable shopper, those consumable shoppers are much more loyal, visit more often and are retained for a much longer period of time. So we're pretty confident that the customer growth we've seen for last year will be benefiting from it for the next couple of years.
Operator: And our next question comes from the line of Matthew Boss from JPMorgan. Your question, please.
Matthew Boss: Great, thanks. John, could you just elaborate on trends you've seen post-holiday going back and to the momentum that you cited? And then on the expanded vendor relationships and scale, where do you see the most opportunity across categories in the box moving forward?
John Swygert: Matt, with regards to the trends post-holiday, we've been and we've said it a couple times today, we have been very consistent. Q4 was a very consistent quarter for us and we continue to come out of the gate and everything we've been executing and delivering consistent results. So we're not seeing a big change in our overall momentum in the business. So we're excited what we're doing here. So with regards to vendor relationships and expansion, it's not an expansion fully on new vendors. There's the increased expansion on existing vendors as well. So with regards to categories, we're seeing a pretty broad base right now. Obviously, with whatever is presented to us in the categories we sell, which is a very wide variety of basic hard goods, we're seeing a lot of mix coming through and a lot of building on existing relationships that are giving more categories to come in as well. So it's not something that I specifically call out. We're adding new vendors every day, but the big vendors are the ones who drive a lot for us. So we're very excited what we're seeing out there.
Matthew Boss: That's great. And then, Rob, larger picture, help us to think about bottom line flow-through opportunity, maybe relative to the roughly 11% operating margin guide for this year. If comps were to come in above the 1% to 2% plan, just thinking about gross margin relative to SG&A opportunity.
Rob Helm: Sure. So I think over time there's certainly opportunity for us to continue to improve on our operating margin. I think gross margin, John hit the nail on the head. We're planning 40 stores for next year. We haven't been at 40 stores for several years now. We're going to see how that stabilizes from a pricing and customer perspective and then evaluate any movement from there and out years potentially. From a leverage point perspective, you'd expect 10 basis points of leverage on SG&A as we comp above a 2%. So, given the strong closeout environment and where we're at, we're planning one to two, which has benefited us over time because we get leverage as we do outsize comps. We're not going to shut the registers off. So should we deliver a higher comp, we'll certainly be able to leverage faster and get back to our longer-term operating margin highs.
Operator: And our next question comes from the line of Scot Ciccarelli from Truist. Your question, please.
Scot Ciccarelli: Good morning, guys. If you look at SG&A per store, you guys -- hi, guys. If you look at SG&A per store, you're essentially at 2020 levels and really only up modestly from 2019 even with this year's increases. That's a pretty stark contrast on your expense inflation versus what we've seen from most other retailers. And, look, you guys have always run a tight ship. But, what would you attribute that minimal SG&A growth to and how should we think about that on a go-forward basis? Thanks.
Eric van der Valk: We don't necessarily look at it on an average store basis because we are opening boxes that are different size. So the expense leverage kind of moves with that. Our expense dollars, for that matter, moves with that. We are hard at work on expense leverage. We are making the necessary investments we have to make in terms of payroll across all aspects of our business, the distribution center and the stores and the goal of that investment is to get improved efficiency and productivity and that's what we're seeing come to bear in our results for this year and coming to bear in our guidance for next year.
Scot Ciccarelli: And is there anything we should be aware of in terms of wage changes for 2024, potentially even 2025, given what you know now?
Eric van der Valk: No changes at this time.
Operator: And our next question comes from the line of Simeon Gutman from Morgan Stanley. Your question, please.
Simeon Gutman: Hey, guys. Sorry for the background noise. I know its practice to not guide any different than the way you did for the comp one to two. I'm asking because the last year or so has been usually good for closeouts. Is there any scenario or is there anything you see out there why this business couldn't come stronger? Is it lapping a tough closeout environment? But I know John talked about it being pretty strong.
John Swygert: Yes, Simeon, this is John. I would tell you there's no structural reason we couldn't come stronger. We feel very good where we're positioned right now. We build our model on the one to two. We always have that funny saying where we don't turn the registers off and we hit a number. So we're going to continue to try to drive. Deal flow remains strong. Our merchants are confident. So there's really nothing holding us back. We're going up against some pretty good numbers, so I don't think you see outsized comps like you did this year, but I think we have opportunity and we can get it, we'll get it and we'll give the flow through to the investors.
Simeon Gutman: And then a quick follow-up, thinking about the buying, one of the closeout grocers we follow, they've been seeing much higher margins and we're not clear if that's on the buying or their markup. Have you seen any big step changes in categories over time? Is that usual and could that happen for you going forward given the scale keeps getting better?
John Swygert: We haven't seen any step changes in the grocery categories or what we call the food category or candy category. There's not been a large expansion in that area that we've seen at all and that could just be us pushing value through to our consumers for loyalty and repeat business, but nothing real big there, but we do see, Simeon, and we have seen over the last couple years, on certain deals or specific categories, we can have an outsized margin on the buy and still give the customer great value and when we can, we do.
Operator: And our next question comes from the line of Mark Carden from UBS. Your question, please.
Mark Carden: Good morning. Thanks so much for taking the question. So this is building upon a few of the earlier questions and even the last question. But more broadly, across the consumer landscape, we've seen a slowdown in food inflation. Does this impact how you think about desired consumables penetration in the year ahead? Just think about the balance between the importance of this category with the potential for more free spending dollars for discretionary.
John Swygert: Mark, a lot of the disinflation has been really around the, I'll call it the grocery consumable category or the perishable or the cold food. We don't have any of that. We're talking packaged goods, canned goods in our stores. So we haven't seen a ton of disinflation there yet, but if it does come, there will be opportunities for us from that perspective, too. So that doesn't bother us. The loyalty that we've built with the consumer has been very strong on the food and candy category and we expect that to continue in 2024.
Eric van der Valk: Yeah, Mark, disinflation is disruption and that's good for us.
Mark Carden: Okay. Fantastic. And then for a follow up, just on the real estate environment, are opportunities from shuttered retailers like Bed Bath progressing in line with what you're anticipating? Just your latest thoughts there.
John Swygert: It takes a little while, Mark, for that to work its way through. So the short answer to your question is yes. It does create opportunities. It is creating opportunities. With our model and our focus on second generation sites that meet certain criteria, typically the spaces are vacant for a period of time before the economics makes sense to us and to the landlord to do a deal. So we do like what we're seeing out there and we like our chances. Some of the vacancies that are being created by this disruption and some of the retailers that are out there that are shedding sites are potentially on the brink of decay. So that is good for us.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to John Swygert for any further remarks.
John Swygert: I would like to thank everyone for their time and interest in Ollie's. We look forward to updating you on our continued progress on our next earnings call. Thank you. Have a great day.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.